Operator: Ladies and gentlemen, thank you for standing by. And welcome to SEI Fourth Quarter 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions) And also as a reminder, this teleconference is being recorded. And at this time, I will turn the conference call over to your host, Chairman and CEO, Mr. Al West. Please go ahead, sir.
Al West: Thank you, and welcome everybody. All of our segment leaders are here on the call as well as Dennis McGonigle, SEI CFO; and Kathy Heilig, SEI’s Controller. I will start by recapping the fourth quarter and full year 2012 and I’ll then turn it over to Dennis to cover LVS and the investment in new business segment. After that each of the business segment leaders will comment on the results of their segments. And then finally, Kathy Heilig will provide you with some important companywide statistics. And as usual, we’ll fill questions at the end of each part. So I’m going to start with fourth quarter and full year 2012. Fourth quarter earnings increased by 27% from a year ago, diluted earnings per share for the fourth quarter of $0.32, represents a 28% increase from the $0.25 reported for the fourth quarter of 2011. Now for the year 2012, our earnings increased by 1% over 2011 earnings and our diluted earnings per share for the full year of $1.18 is a 6% increase over the $1.11 reported in 2011, I’m sorry, in 2000, yeah, in 2011. We also reported a 16% increase in revenue during the fourth quarter and a 7% increase from 2011 to 2012. Also during the fourth quarter 2012, our non-cash asset balances under management increased by $5.6 billion of that SEI's assets under management grew by $3.5 billion during the quarter, while LSV’s assets under management grew by $2.1 billion. Finally, during the fourth quarter of 2012, we repurchased 1.9 million shares of SEI stock at an average price of just over $22 per share. That translates to over 41.7 million of stock repurchases during the quarter and for the entire year the numbers are 7.5 million shares purchased at an average price of $22.60 a share, representing $155 million of repurchases. I would also point out that during 2012 company returned to shareholders close to $300 million of capital through regular and special dividends, and stock buybacks. At the same time, we strengthened our balance sheet and added to our capital. Then turning to revenue sales, our new recurring revenue sales remained strong. We generated over $27 million of net new sales events of which $21.7 million will be recurring revenues, each of the segment heads will address their sales activities. Now we are continuing our investment in GWP and its operational infrastructure so critical to our future. During the fourth quarter we capitalized approximately $5.1 million of the Global Wealth platform development and amortized approximately $7.8 million of previously capitalized development. And our development agenda for GWP is to further automate our operations and deliver U.S. functionality so important to the advisory banking markets and their entry to U.S. markets. Turning now to our business segments, in the banking segment we are increasingly encouraged with our sales activity and our intermediate term revenue potential associated with the rollout of GWP. At the same time, we are working hard to manage the cost of building scale, absorbing new business and keeping pace with the challenges of a rapidly changing U.K. and U.S. regulatory environment. Our GWP sales and marketing efforts are concentrated on launching GWP in the U.S., as well as continuing our success in the U.K. GWP market. In the Advisor segment, we have made solid progress in improving our asset gathering and advisory recruitment, and the rollout of GWP to this market is an important part of accelerating this growth. In the Institutional segment, the market adoption of our differentiated solution is reflected in our strong sales results for the year. While we are encouraged by this, we will continue to improve our offering to help us maintain this momentum. Finally, our Investment Management Services segment had a strong sales and client deliver year. We are proven leader in the service industry and despite the good problem of having a lot of new business absorb, we are excited about our future prospects. Now behind all this, I continue to be encouraged by the feedback I’m receiving from clients and prospects across our company’s target markets and our sales activities and events and all units confirm this. We believe our investment in infrastructure and new service offerings coupled with our financial strength positions us well for the long-term growth. Now this concludes my remarks. So I’ll now ask Dennis McGonigle to give you an update on LSV and the investment in new business segment, after that, I'll turn it over to the other business segments. Dennis?
Dennis McGonigle: Yeah. Thanks, Al. Good afternoon, everyone. I will cover the fourth quarter results for the investments in new business segment and discuss the results of LSV asset management and address a couple of additional items. During the fourth quarter 2012 the investments in new business segment continued its focus on the ultra-high-net-worth investor segment. The integration of our capabilities acquired in the NorthStar acquisition and the further development of new web-based investment services. During the quarter, the investments in new business segment incurred a loss of just under $3 million when compared to a loss $2.8 million in the third quarter. There's been no material change in the segment and we expect -- this segment to continue in this range during 2013. Regarding LSV, our earnings from LSV represent are approximate 40% ownership interest during the fourth quarter. LSV contributed approximately $25 million in income to SEI during the quarter. This compares to approximately $24.9 million in the third quarter of 2012. The increase in income is due an increase in revenue from higher asset balances during the quarter, offset by an increase in year end compensation expenses. Asset balances grew approximately $2.1 billion during the quarter due to increase market valuations offset by slightly net negative cash flows. Revenues for LSV for the quarter totaled $75.4 million. In addition to the business update, I want to review a couple of events that have occurred during the quarter. First, during 2011 SEI made an initial equity investment in the Shanghai, China-based wealth services firm named [Galfu]. During the quarter we increased our investment and now own approximately 23% of this company. With this increase in investment and ownership we will require to capture in our earnings our share of cumulative losses of [Galfu] since our initial investment in 2011. This resulted in a decrease in equity and earnings unconsolidated affiliate of $1.3 million. Our total investment made to date is approximately $10 million. The ongoing impact to earnings per quarter is expected to be approximately $300,000. [Galfu] presents SEI the opportunity to financially participate in and learn firsthand about the developing investment in wealth services market in China, serving the needs of the emerging and rapidly growing high-net-worth and mass affluent markets. Another event during the quarter we are happy to report on is the end of the SIV story at SEI. During the quarter we sold our last SIV holding Gryphon. We were able to sell the security to gain and I refer you to the earnings release for details. This sale occurred and closed during the fourth quarter. We are happy to finish the last chapter on the SIV story. I will now take any questions you may have.
Operator: Thank you very much. (Operator Instructions) And our first question will come from Jeff Hopson with Stifel Nicolaus. Please go ahead.
Jeff Hopson - Stifel Nicolaus: Hey. Thanks a lot. Dennis, the expenses in the new business triple upward, is that related to NorthStar? And then in terms of use of cash flow for share repurchase going forward, will that approximately track cash flow from earnings from here, I think, the question, I guess is, you’ve had balance sheet cushion, the SIVs are gone, any thoughts of even more aggressive share repurchases from here.
Dennis McGonigle: Sure. I guess, on expense side, it’s really kind of fourth quarter type expenses that get more towards the end of the year, and we are doing a couple of other things in the investment new business segment around NorthStar which is discontinued, but also some mobile technology work that we are exploring and areas around social media. So it’s kind of a little bit of creeping in a couple areas, but really not that material going forward. On the stock buyback side, I mean, I’ll answer kind of the way I have always answered at that. We don’t really commit to a capital amount that we’ll deploy, but it’s safe to say that when we look at our use of capital going forward it will be fairly consistent with our use of capital in the past, that first it’s a reinvest in the business and then second the return to shareholders mainly through buyback.
Jeff Hopson - Stifel Nicolaus: Okay. And but is it fair to say that the reinvestment in the new business, given the stage of GWP will theoretically moderate from here or go down?
Dennis McGonigle: I like the word theoretically, but generally, we do have some, if you know, we have some continued investment, Al just committed on that as we push to get in the U.S. market fulfill, that will occur this year, probably we always have investment. We always want to reinvest in our businesses. But certainly overtime that capital, the use of capital in that space will come down…
Jeff Hopson - Stifel Nicolaus: Okay.
Dennis McGonigle: … which just give us more capital apply toward something like stock buyback.
Jeff Hopson - Stifel Nicolaus: Okay. Thank you.
Dennis McGonigle: You’re welcome.
Operator: Thank you. Next in queue is Tom McCrohan with Janney. Please go ahead.
Tom McCrohan - Janney: Hi. Thanks for taking the question. Dennis, regarding LSV during the quarter, I guess some insiders, employees purchased some ownership of this affiliate and I couldn't figure out, I mean, regulatory filings, what percentage ownership this group now has. Can you confirm like how much they own in percentage terms?
Dennis McGonigle: I think what you are referring to Tom is that some of the employees and some of them already had maybe partnership interest, acquired additional partnership interest from other partners.
Tom McCrohan - Janney: Yeah. So…
Dennis McGonigle: And they set up -- they easily set up a private partnership to acquire that partnership interest, borrow the money necessary to had that transaction and use that partnership as the flow-through to payoff that debt. So and all we do generally as guarantee, act as a guarantor against that. But it’s something new for us. It’s something that LSV is, as it occurred at LSV, think this is the third or fourth transaction of that type.
Tom McCrohan - Janney: Yeah. It’s…
Dennis McGonigle: Really, it’s a way to move partnership ownership from partners who want to liquidate a little bit to current employees that are key to the partnership, good solid employees that want to have the opportunity to buy in.
Tom McCrohan - Janney: The $77 million that was spent from these internal employees purchased? How much percentage of LSV?
Dennis McGonigle: I forget the exact percentage, I think, around 8%...
Tom McCrohan - Janney: Around 8%.
Dennis McGonigle: … give or take, yeah.
Tom McCrohan - Janney: Okay. And the -- that seems kind of high given how your ownership interest only went down by like 1.4%?
Dennis McGonigle: Now, they didn’t buy it from us, I mean, our ownership interest went down in the second quarter of last year.
Tom McCrohan - Janney: Right.
Dennis McGonigle: As part of an equity distribution that we and the other partners, key partners at LSV put in place a year number of years ago to facilitate equity distribution to ownership distribution to key employees, clearly separate transaction, a separate event.
Tom McCrohan - Janney: So…
Dennis McGonigle: If you go back to last year’s second quarter Q, and even prior filings you would see, more detail on that. But essentially we contributed roughly give or take 3% of our ownership interest to that fund if you will. We retain our ownership interest in that until it is distributed to employees. And I think there is about 1% of ours left to be distributed out of that fund. That’s clearly separate from that the transaction that occurred during the later part of this year.
Tom McCrohan - Janney: Okay. Great. Thanks.
Dennis McGonigle: Does that answer…
Tom McCrohan - Janney: Yeah. That was helpful. Thanks. That’s all I had.
Dennis McGonigle: Okay.
Operator: Thank you. Our next question in queue will come from Robert Lee with KBW. Please go ahead.
Robert Lee - KBW: Thanks. Good afternoon, guys.
Dennis McGonigle: Good afternoon.
Robert Lee - KBW: Good afternoon, Dennis. Just quickly on back to LSV a little bit, I'm just wondering if there is any color you can provide just on, their own kind of RFP activity or business pipelines. I know their general style has been somewhat out of favor for a while? But any kind of update on what they are seeing and maybe any kind of performance update if there was any kind of particular strategies that, good, bad, just trying to get some additional color on it?
Dennis McGonigle: Yeah. I mean, generally there are more recent performance other then kind of the sector, there in the value sector has been good, they still, there challenge a little bit with that kind of three year -- five year type performance numbers. Their cash flows during the quarter were, although they were net negative they did have about $600 million of new money come in from new clients and part of their lost cash flows if you will were really rebalancing cash they -- asset they losses as a result of clients rebalancing their portfolio is not leaving LSV, just reducing the position with LSV as a result of the restructuring of over portfolio. So there is still, they are active in the market they are selling, they are adding new clients, their intermediate term performance, which were kind of moving away from has really progress this year. Those numbers will drop off if you will. But they feel like they will continue the solid growth. There are smaller cap product the ones that have done well, they are -- they have closed some of those products. But I think they feel, pretty positive about where they are.
Robert Lee - KBW: All right. Great. Thanks for the color.
Dennis McGonigle: You’re welcome.
Operator: (Operator Instructions) Next in queue is Chris Donat with Sandler O'Neill. Please go ahead.
Chris Donat - Sandler O'Neill: Hi. Good afternoon, everyone. Dennis, I don't know if you want to address it now or later, but I’m wondering if there is any update on the Korean business, SEI AK. You disclosed previously that you expected a net after-tax gain of something like $9 million to $21 million, I’m just wondering if either any update on timing or size of that amount?
Dennis McGonigle: I guess, only update Chris is that, there is no update, everything kind of holds and we still expect end of first quarter.
Chris Donat - Sandler O'Neill: Okay. That’s all I was looking for.
Dennis McGonigle: Okay. Thanks.
Operator: Thank you. At this time, there are no additional questions in queue, please continue.
Presentation:
Al West: Thank you, Dennis. And I’ll now -- now I’m going to turn it over to Joe Ujobai to discuss our Private Banking segment.
Joe Ujobai: Thank you, Al. Today I’ll give you review of the current financials and an update on our activity in the Private Banking segment. I will focus primarily on the comparison to the third quarter of 2012, as well as thorough review of the full year 2012. Revenue for the quarter increased 5% to $96.5 million. For the year revenue also increased 5% to $365 million. The revenue increase for the quarter and the year was largely due to increase in GWP assets under administration resulting growing GWP recurring revenue, increase assets under management and our distribution business, and in the U.S. increased mutual fund trading activity and one-time revenues from TRUST 3000 clients. Expenses for the quarter and the year were largely due to direct costs associated with higher assets under management, sale and marketing cost due to increased sales resources and side events, and cost associated with continued GWP development, operational build out, regulatory change in compliance and amortization. We are working hard to manage costs as we grow the GWP business. Profit improvement is slower than any of us would like and sometimes choppy, but we will make progress as we grow our revenue and scale our operational and technology delivery. Turning to business development, new sales events for the quarter, including GWP, other cost sales to current TRUST 3000 clients and increased transaction activity was $12.3 million, approximately 60% or $7.4 million of this is recurring revenue. Net sales events for the year were $38.6 million and approximately 60% or $24 million of this is recurring revenue. This represents a significant increase over prior year recurring sales events. As a reminder, it takes anywhere from 9 to 18 months for recurring revenue to matriculate. In the U.S. during the quarter, we converted our first U.S. bank to GWP. Centier is the first SCI bank client to migrate from TRUST 3000 on to the new platform. GWP gives Centier a more robust infrastructure from which to go and approve the client proposition. Also during the fourth quarter, a Kanaly Trust, a leading independent company into an agreement with SEI to provide asset management and investment processing services utilizing GWP. Our investment processing pipeline is the largest it has been in the recent years and is now exclusively GWP. In 2012, we significantly increased activity with existing clients and new names. We have invested in our global sales organization and are seeing progress in the quality and quantity of engagement prospects. 2013 is the year of sales execution for us in the U.S. and continues sales momentum in the U.K. During the quarter, we recontracted 13 clients at $11.5 million. For the year, we recontracted 33 clients or $33 million. For the first time, we contracted that just included GWP client. In the U.K. we have broadened our relationship with HSBC private bank. The three prime areas for the expansion are HSBC will be moving additional discussion of books of business on the GWP. HSBC will be consuming our new client acquisition services. The functionality we acquired from Northstar and integrated into GWP. And our end-client website and performance measurement will also now be consumed. While we have proven our ability to attract and grow new clients in the U.K. I’m very proud of our growing relationship with HSBC. We’re also working hard to convert the backlog to grow assets under administration and scale the infrastructure. Worldwide, GWP assets under administration at the end of the fourth quarter were $22 billion. We have 24 signed GWP contracts and 19 clients are now live. We’ve an unfunded committed backlog of $4.4 billion in conversion or infrastructure clients sold in 2012 and we expect this backlog to convert over the next 12 months. An additional contributor to our business is asset management. During the quarter ending asset balances were up $1 billion to almost $19 billion. In conclusion, all in all, 2012 was a successful year in private banking on many fronts. Market awareness has grown and sales activity has increased significantly. U.S. rollout has begun including the build-out of GWP U.S. operation. We have consolidated our U.K. operating activities in London and are on our path to improve scale, quality of service and greater efficiency. We continue however to see substantial regulatory pressure on our clients prospects and us. The short to medium term, this regulatory activity can be distracting as we all respond to a rapidly changing environment. Longer term regulatory changes typically helps grow our outsourcing business as the markets look for solutions. The improvement in capital markets and the investments we have made over the past several years are beginning to deliver positive sales results, who remain focus on growing our existing clients, adding new clients and closing GWP business in the U.S. and U.K. We’re working to drive the revenue as quickly as possible and manage costs while building scale. Are there any questions?
Operator: (Operator Instructions) And next is Chris Donat with Sandler O’Neil. Please go ahead.
Chris Donat - Sandler O’Neil: Hey, Joe.
Joe Ujobai: Hi Chris.
Chris Donat - Sandler O’Neil: I appreciate the commentary and I know you all tried to help us with this before but that takes 9 to 18 months for the revenue to matriculate. Just trying to get at it another way that the $33 million of recurring revenue in the full-year. Can you give us any sense of how much that was alternatively recognized as revenue in 2012 or I'm just trying to get --trying to understand some of the timing in what’s flowing through from previously disclosed sales events and the actual revenue at the stage?
Joe Ujobai: I’m not sure what you mean by the $33 million. We recontracted $33 million that is largely from our TRUST 3000 and now…
Chris Donat - Sandler O’Neil: Correct. Yeah.
Joe Ujobai: So that will come over the course of the -- that sort is the annualized revenue. That will come over the course -- it's there and it will continue because the company contracted them.
Chris Donat - Sandler O’Neil: All right. So I meant $24 million of recurring that you mentioned sort of midway through your comments?
Joe Ujobai: So the -- if you’re referring to the $22 million of recurring revenue over the year?
Chris Donat - Sandler O’Neil: Yeah.
Joe Ujobai: So some of that starts right away because some of that would be things like increases in the mutual fund trading business and increases in some of our other products that we recognized right way. But most of that would be traditional investment processing clients where there would be some form of a conversion projects. That we take as I’ve mentioned anywhere from nine to 24 months. So not a lot of that is recognized yet. Most of that will be start to flow into the financials in 2013.
Chris Donat - Sandler O’Neil: Okay.
Operator: Thank you very much. And next in queue is Glenn Greene with Oppenheimer. Please go ahead.
Glenn Greene - Oppenheimer: Thanks. Hey Joe, good afternoon.
Joe Ujobai: Hi
Glenn Greene - Oppenheimer: A couple of questions first on the sales activity in August, so I’ll ask for the full year either on a 38 contracted or $24 million recurring. Is there any way that give us a frame of reference how much of that is GWP related as opposed to core related?
Joe Ujobai: So we don't break that out but it’s -- if you look at the recurring, it’s probably roughly half GWP related and then some of that recurring, I would say is direct contracts to buy GWP. But it’s -- I think it's representative of the momentum we have in the market to GWP's availability. So clients are committing to do other things with us whether that be little bit more on TRUST 3000 or some of our other products like I mentioned earlier, things like our mutual fund trading capabilities. So I think the GWP momentum is helping us sell more business with current clients prior to their official move to GWP.
Glenn Greene - Oppenheimer: Okay. And then if I look at the revenue in the quarter, the $96 million plus, very nice step-up Q-to-Q and I know you had some unusual revenue in the third quarter, if I recall. So even better if you certainly strip that out. And you sort of called out, some one-time revenue and some mutual fund trading activity that had stepped up. Maybe could help us sort of think about the revenue growth in the quarter. How much of this was sort of a mutual trading at one time. And really what I am trying to get at is, are we on a good sort of quarterly run rate from here?
Joe Ujobai: Yeah. I think, as we may progress, the run rate is getting increasingly more predictable. So it's come from a couple of things. So the increase in revenue in the quarter has come from again as I mentioned some mutual fund trading activity but also recurring revenue on the GWP as we -- as we bring more assets to the platform largely from current clients over the quarter.
Glenn Greene - Oppenheimer: Okay. So in your mind there was certainly like nothing unusual in terms of the quarterly revenue number?
Joe Ujobai: No. I think brokerage was actually up a bit in the fourth quarter that had -- we have a tendency to have a strong quarter in the fourth quarter. So brokerage was up a bit and as I mentioned also we’re starting to see the benefits of the assets coming onto the platform. And then I think our activity in the market is spurring other revenue increase.
Glenn Greene - Oppenheimer: Okay. And then just one final one from me, anyway you could quantify the pipeline at this point, maybe break it down U.K. versus U.S. for GWP?
Joe Ujobai: Yeah. I think the pipeline remained strong. We have talked about numbers, sort of, in the 45 million to 50 million, 60 million range for -- in the U.K., the underlying characteristics of the pipeline changed a little bit to the larger firms that probably had longer sales cycles. And I think we talked about that. That's really where our strategy is headed. In the U.S. the pipeline is growing nicely. It’s obviously are clients on earlier stages but we’re pleased with the activity. And we would expect overtime, those things start to turn into sales events.
Glenn Greene - Oppenheimer: Great. Thanks Joe.
Operator: Thank you. Our next question will come from Robert Lee with KBW, please go ahead.
Robert Lee - KBW: Hi. Good afternoon, Joe.
Joe Ujobai: Hi Bob.
Robert Lee - KBW: A quick question, maybe -- I don't think I heard one of the numbers correctly or -- The GWP assets, was that $22 billion that it is up to now?
Joe Ujobai: That’s correct.
Robert Lee - KBW: I guess, from one of the things that from maybe, a kind of net new in flows. My guess would be probably half of the sequential increase or so. That would be reasonable?
Joe Ujobai: Yeah. For the fourth quarter, that half was net new inflows, the other half some market appreciation and currency.
Robert Lee - KBW: Okay. And maybe shifting gears to margins a little bit, I understand that you are still kind of rolling on the U.S. and have all the other costs and expenses. But is there any update you can give us on how we should be thinking, given the continued improvement in the top line growth in this segment about the progression of margins as we look ahead into ‘13 and ‘14? I mean, is it going to be like we are -- do you think we are going to be down around these levels for the next couple of quarters and it is really knock on wood and more kind of late 2013 to 2014? You see some noticeable improvement? How do you think we should …
Joe Ujobai: As I said, my comments are slower than any one of us would like and it’s also choppy. So we are beginning to see revenue increase, recurring revenue increase across the board and most of our revenue areas. But there are expenses, so for example, we report on the asset management side, funds that are not SEC registered, we consider the underlying subadvisor cost as expense based on the way the fund is structured. So that shows a little bump in the expense. It’s obviously covered by the fact we get revenue from those but some times it creates a little confusion on expense increase. We spend a lot of time this year moving, centralizing the operations for our clients in the U.K. and are now focusing on continue stability and scale and sometimes you have to invest to create that scale. We are building up the U.S. operation. We are for GWP. We are selling considerably more in recurring revenue, creating revenue sales will double. So sales comp didn’t double but it has certainly gone up because -- and we’re expecting to sell even more in 2013. So while we are sort of going through this transition period from the legacy trust business to the new GWP business, it will take a little while I think for the profit to catch up and it will be choppy or bumpy. But ultimately we believe there is a significant opportunity to grow our margin in this business and the goal is to try to make that happen as quickly as possible.
Robert Lee - KBW: Maybe just a quick refresher on how you compensate for sales events. Is it -- trying to remember, is it on the signing of the contract or is it kind of as the assets and revenues start rolling in? On the signing …
Joe Ujobai: For traditional client, that has -- a set conversion between, call an infrastructure conversion client. We pay a sales person a percentage of expected first year revenue, largely at the signing of the contract. So sales comp is, it was front-end loaded from an expense standpoint.
Robert Lee - KBW: Great. That was it. Thanks for taking my question.
Joe Ujobai: Thanks.
Operator: Thank you. Next in queue is Jeff Hopson with Stifel Nicolaus. Please go ahead.
Jeff Hopson - Stifel Nicolaus: Okay. Thanks. So, HSBC, any sense of how much bigger the relationship is and can you give us that new Kanaly Trust? Can you maybe spell that or I didn't hear it completely?
Joe Ujobai: So we don’t really ever talk about specific client financials but I think that the increase of opportunity at HSBC as they have identified some more books of business and also just started to consume some more -- some are new over services but weren’t available when we first contacted with them along with the recontracting in the third quarter are all really positive signs for us. And they are definitely increase in the income that we are -- the revenue that we receive from them. So that’s positive sign. HSBC private bank is not -- in the U.K. is a reasonable but not a very, very large book of business. So I think it’s positive for us, but it doesn’t dramatically change our financials. Kanaly is a larger community bank in the U.S. and we have struck a deal with them both for asset management as well as investment processing and we would expect to see when that converts later this year. Some increase in our revenue larger than we would typically get from a community bank that acquired purchased trust because we’re providing a lot more services and the pricing models are bit different. So they are not gigantic breakthrough financial events but they are good progress for us.
Jeff Hopson - Stifel Nicolaus: Okay. And then, on the assets under management, most of those are, I guess, European, Canadian distribution partners. So is it that investors are now moving assets to a greater degree? I know you hired a couple of new guys recently to focus more on that. So how much of it is just the market versus things that you are doing specifically?
Joe Ujobai: It’s largely -- the increase in the quarter was largely market related but we do have as you mentioned, we have made some hires and we continue to focus on the growth of our asset management business both with distribution partners and also with consumers of GWP.
Jeff Hopson - Stifel Nicolaus: Okay.
Joe Ujobai: So we see opportunity and momentum there.
Jeff Hopson - Stifel Nicolaus: Great. Thanks.
Operator: Thank you. Next in queue is Tom Mccrohan with Janney. Please go ahead.
Tom McCrohan – Janney: Hi, Joe. Thanks for taking the question. The 3% margins, did the quarter include any kind of one-time expenses, elevated expenses related to -- anything that could be considered one-time?
Joe Ujobai: No, it’s actually a pretty clean quarter. We do have one-time activity in our -- predominantly in our U.S. Trust business where we do some customer programming but that was pretty much in normal rates. So it was a relatively clean quarter.
Tom McCrohan – Janney: Okay. And in terms of your strategies to convert the pipeline of prospects particularly in the United States, would you consider selling pieces or components of GWP prospects as opposed to selling the entire offering just as an effort to kind of accelerate adoptions, kind of get your foot in the door?
Joe Ujobai: I think the way to get our foot in the door is really we are just talking to our clients and prospects about books of business. So wouldn’t really be disaggregating the overall benefit of GWP which has lot other value that is associated with integrated nature of it but our foot in the door is more around let’s identify books of business or different end clients or segments as a starting point of wealth management activity with insight to these organizations. I get started that way rather than the entire wealth managed business which is maybe across many, many different end client -- segments. So that’s been our strategy to step into larger opportunities.
Tom McCrohan – Janney: Okay. And my last question is on your comments regarding the regulatory environment. I mean it has been a challenging regulatory environment for everybody for a number of years now. Is there anything specifically that has changed, that caused you to, kind of, call that out?
Joe Ujobai: I think the regulatory environment is getting even more challenging. We’ve got situations in the U.K. with RDR and in U.S. with things like Dodd-Frank. Dodd-Frank may not directly impact wealth managers but it changes terms of position with inside the firms. We’ve mentioned before that -- ongoing audits and scrutiny of the regulators feels like its’ increasing for everybody as we’ve talked about that in some of our filings. So I just pointed out because it seems to be a great opportunity for us in the longer term but in the shorter term, we have to invest scantily in what we’re building to keep up with the environment. So it’s a pretty challenge I just want to put out there because I see it every day particularly with our clients.
Tom McCrohan – Janney: Great. Thank you.
Operator: Thank you. Next in queue is Robert Lee. Please go ahead.
Robert Lee - KBW: Hi. Thanks. I did have a follow-up. Joe, Is it possible to get any update? I don't think you gave it on, kind of, your transition clients. I guess thinking back six months ago or so when you talked about it last at the investor day, but any kind of update on expectations for the revenue that could fall in over the next couple of years as those clients kind of transition more books of business?
Joe Ujobai: I mean, we think we see clients that have been on GWP longer than momentum of those clients get stronger. It takes a while for them to get up and running and the assets flowing. Most of our clients are meeting the contractual minimums that we have agreed to. Some of them are beginning to exceed. So I think its -- he is going not as fast as we would like but certainly public going as expected and again, I think we feel good about the movement we had this year and we’re putting more focus on gathering more assets from those clients going forward. So we have great plans with everybody and they are – our clients understand a lot of expectations are from them and we are helping them meet and hopefully over time exceed those expectations.
Robert Lee - KBW: Maybe just if we look at just the contractual minimums at this point, going forward and would certainly like to be better, maybe we should be thinking that they're still I don't know, $30 million, $35 million of annualized revenue that could flow in over the next couple of years or …
Joe Ujobai: There is still more revenue to come. We definitely have more opportunity and the minimums would increase, the longer contract was in existence. So there is definitely more opportunity and again as soon these clients get bedded down, they get used to the new proposition and we get better at transitioning assets. So our expectations are that those numbers improve. But the pipeline also is largely moving towards more traditional clients an upfront conversion.
Robert Lee - KBW: Okay. Thanks.
Operator: Thank you. And next in queue is Tom McCrohan. Please go ahead.
Tom McCrohan - Janney: Hi. Just two follow-up questions. And, Joe, when client adds additional books of business, what’s the incremental margin on that?
Joe Ujobai: As you know that, the overall GWP proposition is not break-even at this point. So we look at individual client profitability through a series of trying to assign certain fixed and non-fixed expense. So it's really not a very easy question to answer at this point, and we think overall profitability of GWP is not imminent. But we do see that pricing continues to strengthen, as we have more solutions, more greater solution to the marketplace. And again our expectations are that, from a client-to-client standpoint bigger relationships have a tendency obviously to provide a better contribution to the overall improvement of the financial situation. So it’s really hard to put a number right now on that for GWP.
Tom McCrohan - Janney: Okay. But it essentially should be higher, right. I understand that you don’t want to give guidance.
Joe Ujobai: There are fixed cost of clients, the cost of servicing to that client, the cost of the infrastructure associated with a single client. Some of that’s fixed, some of that is variable but we are in too early days to I think put too much presence on individual client profitability. We are more focused on, how do we improve the overall profitability of the banking segments and that will happen as we grow the GWP business and the structure.
Tom McCrohan - Janney: That’s fair. And then a last question on HSBC given they are consuming more functionality, features functions, is there anything you could talk to in terms of margin implications from that, revenue implications from that?
Joe Ujobai: It increases our revenue but again, as I said it's not really appropriate with the calculating margin. I think the good news is that, we build a system that is largely integrated with the variety of services from the front to the back that was always our strategy. We built from the back to the front and clients that consumed us when we had less functionality are beginning to talk to us about taking the broader functionality, and I think over time that will definitely have a positive impact on our margin.
Tom McCrohan - Janney: Okay. Thank you.
Operator: Thank you. (Operator Instructions) Okay. We have a question coming up from [Peter Seuss] with Surveyor Capital. Please go ahead.
Peter Seuss - Surveyor Capital: Hey, Joe. Just a quick question. Can you let us know what the expense base from GWP was for 2012?
Joe Ujobai: We don't disclose that.
Peter Seuss - Surveyor Capital: Okay. I thought you had given that.
Joe Ujobai: Usually at the Investor Conference in June, but we don't break out the GWP versus Trust in exact length?
Peter Seuss - Surveyor Capital: Okay. I mean, when you look at the overall expense base of the segment, I guess it looks like your expenses were up almost $20 million year-over-year. Can you give any kind of color as to what we could expect in a base case scenario going forward?
Joe Ujobai: Certain things will go up like sales and marketing costs, I expect will go up. So there will be some expense associated with the rollout of or the building of an operation here in the U.S. as we bring more clients onto GWP. We expect where we try to mitigate some, not all that by getting more efficient in our longer-term legacy business. So it will definitely go up as we add more clients because there is some variable costs associated with bringing on clients, but our goal is to manage the fixed as tightly as possible and to make sure that every client we bring on is a improvement in our overall profitability. Certainly, once we get some of this fixed infrastructure build out in the U.S., we have higher amortization costs but we are still investing. But we are capitalizing lesser. There is a lot of different factors in this, but I think you should take comfort that we are spending lot of time focusing on it and trying to create the most efficiency we possibly can as we rolled this business out, and we transition from our Trust 3000 business to our GWP business.
Peter Seuss - Surveyor Capital: Okay. Great. Thank you.
Operator: Thank you. At this time there are no additional questions in queue. Please continue.
Presentation:
Al West: Thank you, Joe and our next segment is Investment Advisors and Wayne Withrow will cover this segment. Wayne.
Wayne Withrow: Thanks, Al. As you all know, over the past couple of years we have been recovering from the damage done by the financial markets in 2008. We saw small breakthrough when we recorded $436 million in net positive cash flow in 2011. In 2012, our momentum accelerated as we received $1.8 billion in net positive cash flow for the year, including $603 million in the fourth quarter. Our gross receipts in the fourth quarter represents the best we have recorded since the first quarter of 2001. For the year, revenues were $203 million, a 7% increase in 2011. Our fourth quarter revenues totaled $52 million and improved 2% sequentially from the third quarter. Profits for the fourth quarter totaled $20.8 million, a slight decline from the third quarter. Our expenses grew more than our revenues, primarily due to additional GWP expenses and additional personnel expense due to increased variable compensation as well as personnel to support our growth. I do not expect this increase of expensed growth to continue into the first quarter of 2013. Assets under management were $33.7 billion at December 31st, an increase of $646 million at September 30th. This increase was primarily due to net positive cash flow and market appreciation, partially offset by the loss of $356 million in assets due to the closing of our stable asset fund which I previously discussed. During the quarter, we recruited 129 new advisors, bringing our total for the year to 488. For 2013, we will concentrate on three main areas. First, we are focused on the rollout of GWP. Our second set of early adopters went live on December 1st. and we continued to work with all our early adopters to continually improve the GWP experience. We already have enhancements in the pipeline as a direct result of this early client feedback. Second, we will continue to focus on new advisor recruiting and third, we will work to continue to improve upon the segments’ rate of net cash flow growth. In summary, 2012 and the fourth quarter in particular reflects the momentum we have been building in this business. Our goal in 2013 is to improve upon this momentum, to increase both revenues and profits, while at the same time continuing the rollout of GWP. I now welcome any questions you may have.
Operator: Thank you again for your questions. (Operator Instructions) And Jeff Hopson is in queue. Please go ahead.
Jeff Hopson - Stifel Nicolaus: Okay. Thanks, Wayne. So the GWP affect, I know you're taking a bigger portion of that here. So that's basically going to level off here or was the fourth quarter kind of some one-time expense? And then two, in terms of client behavior what we've seen in the industry is, especially in December a lot of tax motivated activities and equity outflows moving to cash and then we’ve seen a reversal in January. Are you seeing the same type of thing and any expectation as to what that means for your revenues if we get the sustained move in equities? I assume that's a little better, but any comment on that?
Wayne Withrow: Jeff, I’m not sure what you mean by taking a larger portion of GWP expense. I think we are seeing a little more expense, as we have gone live with clients. We have the operational expense associated with those clients. I would expect that 2013, we will continue to see some uptick in GWP expense, but we’re focused on controlling expense in other areas for the benefit of the segment. In terms of the movement of assets, I don't know if we’ve seen the exact same phenomena you’ve see. We had a lot of activity in December, as people try to reposition their portfolios. And perhaps for the first time we had tax gain harvesting as opposed to tax loss harvesting as people try to take advantage of the change in tax rates. But I’ve not seen a shift into our money market funds that you discussed.
Jeff Hopson - Stifel Nicolaus: And I know you don't like to talk about the future or January, but there in the movement we have seen two equity funds that may our may not affect you. I mean, if your financial advisors don't necessarily get new cash flows because of that. But are you seeing any behavior change here with the markets up and equity flows improving for the overall industry?
Wayne Withrow: I guess what I would say we are having a good January.
Jeff Hopson - Stifel Nicolaus: Okay. Great.
Operator: Next in queue is Robert Lee. Please go ahead.
Robert Lee - KBW: Hi, Wayne. How you doing?
Wayne Withrow: Good.
Robert Lee - KBW: I was curious. Is it possible to get a little bit of color, deeper color on the new advisors? I’m just kind of curious. Are there any particular platforms or channels that you are having the most success in terms of getting new advisors to sign on?
Wayne Withrow: I guess the only one I would highlight is we have build and continued to grow our national accounts team, which is focused on serving the broker dealer community. And as you know about 71% of our advisor have a broker deal affiliation. And as we get the word out more and more to the home office about the power of our solution, we see the number of referrals and recommendations from those home offices increasing.
Robert Lee - KBW: Okay. And I know it is still kind of in the early stages, the GWP rollout and the kind of beta testing stages to some degree, but you have had some out there for a while. And I guess part of the attraction of GWP is that advisors can put more of their assets unto that platform and you guys can capture more revenues. Any color at least on the early adopters if you are actually seeing that take place that when they actually go live, you are seeing your revenues from those advisors pick up and you are seeing more assets come on to the platform that you can earn some fees on?
Wayne Withrow: At this point, we are still building up the full suite of functionalities, so that we can officially do that. So while we are not seeing a big shift in the asset immediately in terms of our current revenue event. That’s clearly what they have in mind as they move to the platform, they are getting positions. So that when we are ready and they are ready, the assets will move.
Robert Lee – KBW: So as part of the build out for the whole platform, I mean, are you thinking that you will be in a better position kind of as this year progresses and that kind of by the end of this year, you will have a lot of that product suite available so that, hopefully, you would start seeing more of that flow?
Wayne Withrow: I think that’s an accurate statement.
Robert Lee – KBW: All right. Great. Thank you.
Operator: Thank you. Next in queue is Chris Donat and your line is open.
Chris Donat - Sandler O’Neill: All right. Thanks. Wayne, just to try to put some numbers on this, for the expenses about $32 million in the fourth quarter. Is that sort of a decent run rate for quarters of 2013?
Wayne Withrow: I think Al what shoot me if I increase them much more. But…
Chris Donat - Sandler O’Neill: Don't get yourself in trouble then, but okay.
Wayne Withrow: I mean, we had pretty good sales complaint numbers in that and I think in the first quarter you will see us aggressively attacking any growth in those expenses.
Chris Donat - Sandler O’Neill: Okay. So, on the non-GWP side like you’ve referred to before?
Wayne Withrow: I think in total.
Chris Donat - Sandler O’Neill: Total. Okay.
Wayne Withrow: I’m not getting into the categories. I’m just looking at the total number.
Chris Donat - Sandler O’Neill: Okay.
Operator: Thank you. (Operator Instructions)
Presentation:
Al. West: Thanks, Wayne. Your next segment is the Institutional Investor segment. I’m going to turn it over to Ed Loughlin to discuss the statement.
Ed Loughlin: Yeah. Thanks Al. Good afternoon, everyone. I’m going to focus my remarks and the financial results for the fourth quarter as well as the entire year. Fourth quarter revenues approaching $61 million increased 4%, compared to the third quarter. Full-year revenues of $227 million increased 9% compared to 2011. New client funding and market appreciation drove revenue growth throughout the year. Operating profit of $30 million, increased 7% compared to the third quarter and increased 8% for the year, totaling $111 million. Margins expanded during the fourth quarter to 50% and were 49% for the entire year. Quarter end asset balances of $64 billion reflect $1.4 billion increase compared to the third quarter and a 21% increase for the calendar year. Plan termination and plan encumbered by the PBGC resulted in the negative net new client funding during the quarter of $557 million, and throughout the quarter all client assets in the backlog were funded. Client signings for the fourth quarter were $1.1 billion. 2012 sales totaled $9.4 billion for the year, representing a new unit record. New sales activity has return to pre-financial crisis levels, as institutional investors continued to seek a fiduciary partner to actively manage managers, near-term asset allocation and plan liabilities. SEI fiduciary management program has a proven track record of adding value for clients in these areas, and competes favorably in the outsourcing space. Our focus for 2013 is in three areas. First, to build a diversified pipeline of institutional investors from our target segments with an increased emphasis on larger investors. Second, to provide clients with value-added advice and discretionary services. And third, we continued to differentiate our solutions with investment strategies that are designed to support clients in attaining their business goals. Our pipeline remained strong and we are optimistic about the growth opportunities in the institutional space. I'm happy to entertain any questions if you may have.
Operator: Thank you again for your questions. (Operator Instructions) And in queue we have Glenn Greene with Oppenheimer. Please go ahead.
Glenn Greene - Oppenheimer: Hey, Good afternoon.
Ed Loughlin: Hi, Glenn.
Glenn Greene - Oppenheimer: Just a clarification of a few things. I just want to make sure I heard it. Could you clarify the rationale or the reasoning for the outflows of the negative 550 or so?
Ed Loughlin: We had a couple plans that we had work through with clients for the last couple years to a signed termination. And we had a couple of corporate clients that had financial problems and the plans were turned over to the PBGC and all that. It is just cleaner to all those kind of things to happen at year end. 
Glenn Greene - Oppenheimer: Okay. So nothing unusual and you won't expect any -- obviously you could, but you don't expect anymore going forward as far as you know?
Ed Loughlin: Going forward, PBGC takeovers or [planned summer]. While, we had those for the last 15 years, so will there be more going forward? I'm sure, but I think that the numbers speak for themselves or we were able to pretty much absorb it and go through it.
Glenn Greene - Oppenheimer: And then the signings on the fourth quarter, it looked like it slowed a little bit from the pace of the first three quarters, but you're trying to suggesting the environment's back to normal. Is it just sort of timing your deals and getting things over the goal line?
Ed Loughlin: Yeah. Again, I mean it’s not a business where you can look at it and get 25% of the sales each quarter. So, I think it was a situation where to a large degree we saw some largest client sales early on in the year. So that gave us some healthier quarter sales for the first three quarters. These were nice size in the first quarter, but not quite as large at some of the others. But the whole combination when you put it together, it was a pretty good year.
Glenn Greene - Oppenheimer: Okay. And then just to clarify, the unfunded backlog basically. The HARP rate I mean is zero, so everything that you signed and you converted and it was in your book of business by the end of the year.
Ed Loughlin: Correct.
Glenn Greene - Oppenheimer: Okay. Great. Thanks a lot.
Ed Loughlin: Sure.
Operator: Thank you. Next in queue is Jeff Hopson. Please go ahead.
Jeff Hopson - Stifel Nicolaus: Okay. Thanks. Ed, we’ve seen an increase in RFPs for CIOs and I know you have won a couple of those. Are those that were publicly announced, are those already in and can you comment on this increase in that type of RFP activity? Seemingly, there is a lot of reasons why that is going to increase, but can you talk a little bit more about that overall trend and your, I guess hope for participation in that kind of category I guess?
Ed Loughlin: Sure. I mean, our fiduciary management program or our discretionary management program outsources CIO program. Those were all synonymous. So the purpose behind all of that is for the Institutional Investor to delegate a lot of that responsibility to a firm like SEI. So we are competing in that space all the time. I guess I would separate out two issues. One would be, I think the interest on the part of Institutional Investors allocating or outsourcing continues to increase and we are seeing it increase in pretty much all of the market segments that we operate. So that’s positive and again, I think that's reflected in the results. The second piece that you talked about, as far as the increase in the RFPs, I think just generally as a part of due diligence, we see that almost every single deal, there is some kind of an RFP process, okay, that a client goes through in order to do the due diligence on making a selection. Interestingly enough, which we had never really seen for the last couple of years for clients that are current clients, we see them going through the process and every five or seven years and so far as issuing an RFP. So just generally the industry of saying, a lot more -- now RFPs as the part of new due diligence or ongoing due diligence with the provider.
Jeff Hopson - Stifel Nicolaus: Okay. Thanks.
Operator: Thank you very much. At this time, there are no additional questions in queue. Please continue.
Presentation:
Alfred West: Thank you, Ed. And now our final segment today is investment managers and I’m going to turn it over to Steve Meyer to discuss the segment.
Steve Meyer: Thanks Al. good afternoon every one. For the fourth quarter of 2012, revenues for the segment totaled $51.3 million, which was $1.9 million or 3.9% higher than the third quarter of 2012. This quarter-over-quarter increase in revenues was primarily due to an increase in new client fundings combined with some one-time revenue events. Annual revenue for 2012 was $193.5 million which was 8.7% higher than our annual revenues for 2011. Our quarterly profit for the segment of $16.4 million was approximately $8000 or 4.4% lower than our profits for the third quarter of 2012. This decrease in quarterly profit was primarily due to an increase in compensation expense caused by higher sales as well as additional operating expenses that we incurred in preparation for implementing new business. For the year, our annual profit was $66 million which was 6.4% higher than our 2011 annual profit. Third party asset balances at the end of the fourth quarter 2011 were $244.7 billion approximately $3.7 billion or 1.5% higher as compared to our asset balances at the end of the third quarter of 2012. The increase in asset was primarily due to net positive cash flows $1.3 billion enhanced by market appreciation of $2.4 billion. During the fourth quarter of 2012, we had net new business sales events totaling approximately $12 million in annualized revenue. This represents our largest sales quarter of the past four years. These sales were primarily in our alternative in global segments of our business. Additionally, we signed re-contracts for current clients of $15.2 million in the quarter, which brings our total re-contracts for the year to $29.1 million. And looking back to 2012, I believe we saw validation of our optimism that we started the year with. We continue to see an uptick in market activity, increased decision-making and the strong market acceptance of our solutions. We’ve also seen larger prospects hit the market validating we believe our overall solution offering the general movement towards outsourcing. Their terrific opportunity but do present a particular set of challenges. For 2013, our focus for growth will continue to be centered on four main areas. First, successfully converting and implementing the new business we have sold. Second, continue to sell aggressively into our existing markets globally with particular focus on the larger end of the market. Third, continue our expense of wallet share with existing clients. And fourth, continue to deliver market leading solutions that are end, that are client for merging needs. With that in mind, we continue to feel optimistic and well positioned for success. I will now turn call for any question you may have.
Operator: Thank you. (Operator instructions) First in queue is Chris Donat, please go ahead.
Chris Donat - Sandler O’Neill: Hey, Steve. Just on the $12 million in net new sales. Is there typically a seasonal pattern with your clients or something else that would be making out unusually strong and also any comments about the competitive landscape with some other mergers that have happened earlier in 2012 and any effects you are seeing from those?
Steve Meyer: So the seasonality -- there used to be a time when I’d say Q4 is tended to tighten up a little bit because people will get ready for year end. But I think things have changed over the year. So really I think with side of the pipeline we have, it really depends who you’re talking to size of the deal and where they are in the process. I do you think this year, we spiked a little bit with people going though process, a loan processes that we’ve talked about before how the sale process has lengthened out. But this people really want to come to a decision before year end. So I think that’s helped us but we’re still seeing strong activity even as we go into Q1, which is a typically slow quarter because people are getting ready for year end audit et cetera. In regards to the competitive landscape, I think it’s really still -- there is no increase activity I’d say due to the mergers and acquisitions, it’s been a couple of them over the past 12 to 16 months. I think there are some opportunities to fall out of that, opportunities that us as well as am I sure some of our comparative are still going after.
Chris Donat - Sandler O’Neill: Okay. Thank you.
Steve Meyer: Sure.
Steve Meyer: Thank you. Next in queue is Jeff Hopson, please go ahead.
Jeff Hopson - Stifel Nicolaus: Thank Steve. On the expense side, so it sounds like some of that is variable, but on the cost for preparing for new clients, et cetera, how much of that is kind of one-time expense versus ongoing expense?
Steve Meyer: I would say most of the -- preparing for new business is ramping up either in infrastructure or people which really would be -- there is an uptick depend -- it’s on going expense. I would continue -- I do believe for the first quarter or so in 2012 our expense uptick to continue. So there will be some short-term pressure on margins but I think it’s for good reason and looking at the opportunities that we’ve already sold and that we have still to execute on and really building up the infrastructure and preparing for the implementation of those pieces of business.
Jeff Hopson - Stifel Nicolaus: Okay. And recently, I guess, there was a very large hedge fund that had outsourced and then they named a secondary outsourcer and I know that may be perhaps a little bit above your market, but any sense on what’s happening there? Does that represent any particular trends as far as more people doing outsourcing? Could they as a very visible player, could that help with the overall visibility of others doing some outsourcing?
Steve Meyer: Well, two things. One, the prospect or the firm you are mentioning I wouldn’t say that is necessarily above thresholds. I think we’ve clearly established ourselves into that space. But, two, I think, overall, that was a firm that insourced for a long period of time actually from their inception. They outsourced to another firm and then they announced to bring another firm in. I don’t think that’s a new trend as a matter of fact, I don’t think that’s the end state that will wind up, that’s my speculation. I do think its just another tip towards outsourcing has gained a ton of matter even with long time insourcers and I think that will continue to stay and that continues to provide some momentum especially that higher end of the market.
Jeff Hopson - Stifel Nicolaus: Okay. Great. Thank you.
Steve Meyer: Sure.
Operator: (Operator Instructions) And allowing the few moments, I’m showing no additional question, please continue.
Presentation:
Al West: Thank you, Steve. And now I like Kathy Heilig to give us a few companywide statistics. Kathy?
Kathy Heilig: Thanks, Al. Good afternoon, everyone. I have some additional corporate information about this quarter. Fourth quarter 2012 cash flow from operations was $111.6 million or $0.64 per share. That brings year-to-date cash flow from operations to $257.5 million. The fourth quarter 2012 free cash flow was $105 million or $0.60 per share and brings the year-to-date free cash flow from operations to $203.2 million. Fourth quarter capital expenditures excluding capitalized software $1.4 million and it brings the year-to-date capital expenditures excluding capitalized software to $21.3 million. Next year we would expect the capital expenditures to be around $18 million. The tax rate for the fourth quarter was 35%, the annual tax rate expected for 2013 will be between 35% and 36%, although, the rate will vary by quarter. The accounts payable balance at December 31st was $11.2 million. We also would like to remind you that many of our comments are forward-looking statements and are based upon assumptions that involve risks and that the financial information presented in our release and on this call is unaudited. Future revenues and income could differ from expected results. We have no obligation to publicly update or correct any statements herein as a result of future developments. You should refer to our periodic SEC filings for a description of various risks and uncertainties that could affect our future financial results. And now please feel free to ask any other question that you may have.
Operator: (Operator Instructions) And first in queue is Tom McCrohan with Janney. Please go ahead.
Tom McCrohan - Janney: Hi. And I’m sorry, if I missed this, Joe, Inc. your prepared remarks, did you mention a new GWP client and if you did, can you restate who that was?
Joe Ujobai: Yeah. Kanaly Trust in U.S.
Tom McCrohan - Janney: Okay. Kanaly.
Joe Ujobai: Kanaly, K, A, N, A, L, Y.
Tom McCrohan - Janney: Okay. Thank you.
Operator: Thank you. At this time, there are no additional questions, please continue.
Al West: Thank you. And so ladies and gentlemen, we’re -- we -- in summary, concentrating our efforts on maintaining highly satisfied clients, growing new business events, controlling costs and finally, investing in projects that’s critical to our future. Then so our focus on long-term growth and revenues and profits is unwavering. As our momentum grows, I’m very bullish about our intermediate and longer term business opportunities and feel good about what we have accomplished in the short-term. Now before you go, our Annual Investor Day will be held on Wednesday, May 29th with the dinner the night before on Tuesday, May 28th. So please save the date. Invitations will be sent out in advance as usual. Thank you. If there is any, this is one last chance to ask any questions you might have.
Operator: (Operator Instructions) And sir, I’m showing no additional questions.
Al West: Okay. Thank you very much. And thank you for your attention today and joining us, and have a great afternoon.